Operator: Good day, ladies and gentlemen, and welcome to the Q3, 2018 ServiceNow Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. . As a reminder, this call will be recorded. I would now like to introduce your host for today's conference Mr. Michael Scarpelli, Chief Financial Officer. You may begin.
Michael P. Scarpelli - ServiceNow, Inc.: Good afternoon, and thank you for joining us. On the call with me today is John Donahoe, our President and Chief Executive Officer. During today's call, we will review our third quarter financial results, and discuss our financial guidance for full-year 2018. We'd like to point out that the company reports non-GAAP results in addition to, and not as a substitute for or superior to, financial measures calculated in accordance with GAAP. All financial figures we will discuss today are non-GAAP except for revenues and revenue growth. To see the reconciliation between these non-GAAP and GAAP results, please refer to our press release filed earlier today, and for prior quarters, previously filed press releases, all of which are posted at investors.servicenow.com. We may make forward-looking statements on this conference call, such as those using the words may, will, expects, believes or similar phrases to convey that information is not historical fact. These statements are subject to risks, uncertainties and assumptions. Please refer to the press release and risk factors and documents filed with the Securities and Exchange Commission, including our most recent quarterly report on Form 10-Q, for information on risks and uncertainties that may cause actual results to differ materially from those set forth in such forward-looking statements. I would now like to turn the call over to John.
John J. Donahoe - ServiceNow, Inc.: Thanks, Mike. Good afternoon, everyone and thank you for joining us on today's call. We had a strong third quarter continuing our global momentum and accelerating our role as a strategic partner enabling digital transformation. Our teams continue to execute well and our focus and commitment to customer success is evident in our results. We closed 25 deals in the third quarter with ACV greater than $1 million and we now have 614 customers doing more than $1 million in business with us. 11 customers are doing more than $10 million, almost triple the prior year, including four U.S. federal agencies. And we ended the quarter with more than 5,000 enterprise customers. The U.S. federal government represented our biggest deals in the quarter, accounting for a fifth of our total net-new ACV. This was our largest federal quarter ever. For example, the U.S. State Department is now our largest platform customer. We're becoming a critical strategic partner to the U.S. federal government as it modernizes its IT infrastructure and moves to cloud-based services and platforms. And further strengthening our public sector capabilities, we just announced an alliance with Microsoft to deliver digital workflows through the Azure Government Cloud. This alliance is designed to help federal agencies move faster and securely to cloud-based solutions. Just as we've seen in the private sector worldwide, digital transformation is becoming a public sector imperative and we are deeply committed to being a preferred strategic partner helping governments modernize, drive efficiency and deliver better experiences for employees and their citizens. I spent much of my time in Q3 traveling the world and meeting with our customers in Australia, Japan, France, Sweden, the UK and all across the U.S. In every discussion with CIOs and CEOs, a few common themes emerge, most importantly the business imperative for digital transformation, the need for trusted technology partners and the challenges of driving cultural change. And in more and more conversations we are being seen as a strategic partner of choice. Our core focus is on delivering digital workflows that create great experiences and unlock productivity. We make work, work better for people and our powerful platform and diverse product portfolios give us great opportunities. We're well positioned to play a broader strategic role in digital transformation journeys as our customers embrace this part of their future. Product innovation is essential to our success and continues to be a top priority. Our London release went live in the quarter, delivering customers exciting new product capabilities such as Virtual Agent that we announced earlier this year at Knowledge. Our London release demonstrates our ongoing commitment to delivering innovative, intelligent capabilities across our Now Platform and product portfolio. And looking ahead, we're investing heavily in more intuitive consumer-like user experiences and building more mobile-friendly, mobile-first capabilities. We expect to be launching significant enhancements in our mobile capabilities and user experience over the coming year. Customer success is also a big priority for us and we continue to make good progress. We're driving customer success to be a natural extension of our sales motion and are committed to both landing new customers and expanding our existing customer relationships in a healthy and sustainable manner. And our customer success approach is paying dividends. For example, our customer success team helped land a significant deal with a European Fortune 200 financial institution in the third quarter. This team showed how we can help enable and deliver key elements of their transformation initiatives and drive successful business outcomes. And we continue to focus on supporting a strong partner ecosystem. For example, Accenture just announced deeper investments with us in Europe to give their European customers a full range of implementation services and expertise in ServiceNow. And following on the heels of our recognition in May, as Forbes' number one World's Most Innovative Company, it was equally gratifying to be recognized this month as a top three company on Fortune's Future 50 list. The Future 50 identifies companies that are "firmly focused on the long term." And that's us. In addition, Forrester recognized us as a leader in Enterprise Service Management and Gartner named us as a leader in their Magic Quadrant IT Service Management Tools for the fifth consecutive year, citing our completeness of vision and ability to execute. In closing, I'm very pleased with our strong quarter. We have strong momentum and we're continuing to make progress against our strategic priorities. At the end of the day, digital transformation is about delivering great experiences and unlocking productivity and our digital workflows enable both. With our Now Platform in our three workflow clouds; IT, employee experience, and customer service, our customers can create intelligent and intuitive experiences to make work, work better for people; and that in turn unlocks productivity, both for the employees who can now focus on higher value-added work and for the entire enterprise by making work simpler, easy and faster. That is the future of work and we're committed to helping our customers create it. With that, I'll turn the call back over to Mike.
Michael P. Scarpelli - ServiceNow, Inc.: Thank you, John. Our first half momentum continued into Q3 and we delivered another quarter of strong performance setting us up for a great finish to 2018. Subscription revenues were $627 million, representing year-over-year growth of 39% and constant-currency growth of 40%; and subscription billings were $674 million, representing year-over-year growth of 35% and constant currency and duration growth of 34%. Our strong top-line performance was driven by bookings outperformance coupled with accelerated revenue recognition from self-posted deals. Our U.S. federal business highlighted the quarter. Government agencies are increasingly looking for strategic partners to help them digitally transform their businesses. While IT is a key driver of this initiative, we're also seeing federal customers look to our emerging products including our platform offering, which drove our largest deal in the quarter. Our investments in our federal sales force and FedRAMP-certified data centers are paying off and we view this sector as a large opportunity going forward. In Q3, the U.S. federal sector represented 20% of net-new ACV, up from 18% in the prior year. We also saw strong profitability in Q3, including 24% operating margin and 17% free cash flow margin, driven by some marketing expense that shift into Q4 back-end higher linearity and lower-than-expected professional services partner fees. Due to the strong performance through the first three quarters of the year and expectations going into Q4, we are raising revenue billings and free cash flow guidance in 2018. We now expect subscription revenues between $2.415 billion and $2.42 billion, representing 39% year-over-year growth and 37% constant-currency growth. We expect subscription billings between $2.83 billion and $2.835 billion, representing 33% year-over-year growth and 31% to 32% constant currency and duration growth. We are maintaining 2018 subscription gross margins of 85% and operating margin of 20%. We continue to see strong productivity from our sales force and we will continue to hire aggressively after adding a record 500-plus net-new employees in Q3. We are increasing our 2018 free cash flow margin guidance to 28%. Finally, we expect 188 million diluted weighted average shares outstanding for the year. With that operator, you can now open up the line for questions.
Operator: Thank you. Our first question comes from Rob Owens with KeyBanc Capital. Your line is open.
Rob Owens - KeyBanc Capital Markets: Great and thanks for taking my question. Well, let me drill down a little bit more into the success you've seen overall in the federal markets and kind of the breadth of the portfolio, which I think you touched on a little bit. But is the take typically around ITSM and then further add-ons, number one. And number two, is this more of a greenfield opportunity you're seeing within fed or a brownfield opportunity at this point? Would love to get some color? Thanks.
John J. Donahoe - ServiceNow, Inc.: Sure, Rob. I'll tell you the – in my travels over the last year, I've met with governments now in all three continents, multiple countries, federal, state and local. And a couple of things are clear. I think initially when cloud came around, governments were a little bit suspicious and may be a little bit slow to embrace it for security concerns, for the newness factor. I will tell you that's changing, and governments are under pressure to deliver efficiency and deliver better citizen experiences, and they now recognize cloud and to do that in a safe and secure way and they now recognize cloud is an important enabler of that. So we are seeing strong demand from governments. Again federal, state and local really around the world. Now in the U.S. federal sector, the good news is ServiceNow has been investing in this sector and in this team over the last several years. We have a dedicated sales team in Washington with a lot of resident expertise there. And the demands – I was in Washington for a full week, it's probably into Q2, early Q3 literally across multiple federal agencies. They're looking for their own equivalent of digital transformation and they view our platform. What's fascinating is they perhaps even more than the commercial sector start with our platform and the power of the platform. And so the State Department deal that we talked about in the script was fundamentally a platform deal and then ITSM and other products on top of it. One of the military services is using our platform in some very creative ways to look at how they onboard their soldiers, how they move their soldiers around, how they off-board over time. And so we're very excited about the opportunity with both the U.S. federal government and governments more generally. Because obviously they have big budgets, they have big needs, are under pressure to deliver and they're turning out to be some of our more innovative customers on how aggressively they're embracing the platform. One final story. You can certainly hear my excitement on this. In Australia, and same thing here in the UK, some of the State and regional governments are using our platform for some really creative ways. For instance, one of the port authorities that also oversees a bust – the busting system is talking about how they're delivering better end-to-end experiences both for the packages and for the people using the ServiceNow Platform. So again, I think there's enormous opportunity here. And obviously the reason federal so big in Q3 is the U.S. federal budget cycle ends at the end of September 30. So this is obviously their equivalent of what commercial business will be in Q4.
Rob Owens - KeyBanc Capital Markets: Great. Thanks.
Operator: Thank you. And our next question comes from Jennifer Lowe with UBS. Your line is open.
Jennifer Swanson Lowe - UBS Securities LLC: Great. Thank you. First, I just had a question for Mike. If I look at the outperformance that you had in Q3 sort of normalizing for duration and currency, it looks like from the slide deck, it was about $21 million of outperformance relative to the midpoint of guidance. Certainly, you're taking the full-year numbers higher for non-GAAP subscription billings, but maybe by a little less than the outperformance you saw in Q3. Is there any sort of – did you see things that you thought would be in Q4 pulled forward? I'm just trying to contextualize what looks like sort of implicit guide down for Q4 relative to what sounds like pretty bullish commentary on the environment.
Michael P. Scarpelli - ServiceNow, Inc.: Yes. No, well, we actually raised Q4 when you look at what we did $8 million for billings was deals that we're expecting in Q3 that happened in Q4 – or sorry we expected in Q4 that were pulled into Q3. And then you also see on the revenue side as well too there was about $4 million of the beat in Q3 was associated with Q4 deals that were self-hosted that happened in Q3.
Jennifer Swanson Lowe - UBS Securities LLC: Okay.
Michael P. Scarpelli - ServiceNow, Inc.: And you can see that by the way in our IR deck. We did a reconciliation on page four.
Jennifer Swanson Lowe - UBS Securities LLC: Okay, great. And maybe just a bigger picture question. I think you and others have had a pretty phenomenal calendar 2018 and we're not at the point yet to get calendar 2019 guidance. But I guess sort of two questions. One there was a question earlier in the year whether tax reform would create sort of a high – better-than-normal spending environment, now that we're sort of closing out the year, I'd be curious to get your thoughts on whether that – how much of an impact is maybe you thought that it would? And two, as you talk about these digital transformation projects with customers, what's sort of the time duration attached to those? Are people talking to you about multi-year deals that would carry over into future years? Or is it sort of tactical around tax reform in 2018 that maybe fueled a little more than normal activity?
Michael P. Scarpelli - ServiceNow, Inc.: Yes. I'll start Jennifer. I don't think we've really seen any big impact to tax reform. I'm not hearing customers spending more specifically on ServiceNow due to tax reform. I definitely don't think it's hurt us, but I would say we weren't expecting a big uptick as a result of that. And I'll let John talk about more the length of a digital transformation with customers.
John J. Donahoe - ServiceNow, Inc.: Well, Jennifer the thing that's striking to me and I'd say this has evolved even in the 18 months I've been here. Digital transformation is no longer a business buzzword. Digital transformation is an essential strategic need for virtually every customer that I'm meeting with and it is just stunning the consistency around that. And in simple terms you think about it's software that's disrupting every company and every industry and every geography. Every company wants to digitally connect with their customers. They want to provide a better digital experience to their employees and they want to use digital technology to drive productivity and efficiency so they can dedicate – their talent their capital to scarce resources to innovating for their customers and not getting consumed in the global – the complexity of running a global enterprise. So I hear that literally in every interaction. Actually, it's commercial and governments. And so digital transformation absolutely is at the top of the investment priorities of companies and I don't think it's driven by tax reform or even macroeconomic factors. I think it's more strategic spend. And so we feel ourselves in the middle of that strategic spend where – I'll give an example. I was at a large Fortune 50 consumer products company where they've identified and growth in consumer products companies are not huge. So productivities become very, very important. And they've identified – they said, we've done the easy cost reduction. We've done the easy now. We need to drive productivity, healthy productivity. And this is the head of their shared services, their business shared services group which is a highly empowered group across their divisions. And he said, automating workflows – we view streamlining, simplifying, and automating workflows across our large global entity, we view is the source of highly positive, highly healthy productivity that includes employee experience and helps reduce costs. And he said, we've looked around and we view ServiceNow as a core strategic partner and core strategic platform in helping us do that. And so what I find encouraging – so yes, is it multiyear? It's absolutely multiyear. So increasingly we're getting pulled into the strategic initiatives of companies and tied to real business outcomes, economic outcomes around employee experience and around productivity. So I think that's what's fueling our demand. Obviously, cloud is a phenomenon. We're still early in the cloud world I believe. And cloud is one of the few investments you can make that can provide better experiences, faster speed and lower cost. And that's really driving the demand.
Michael P. Scarpelli - ServiceNow, Inc.: I would add too Jennifer. The one thing that we have seen I remember from five, six years ago, a lot of the analysts used to say that the role of the CIO was going to be diminished because of cloud. If anything we see with the digital transformation, the CIOs are becoming more strategic in their companies and it helps that we have a relationship with the CIOs.
John J. Donahoe - ServiceNow, Inc.: Absolutely.
Jennifer Swanson Lowe - UBS Securities LLC: Great. Thank you.
Operator: Thank you. Our next question comes from Kirk Materne with Evercore ISI. Your line is open.
Kirk Materne - Evercore Group LLC: Thanks very much and congrats on a nice quarter. John, I was kind of curious just you mentioned sort of the three workflow clouds I think and in terms of IT employee onboarding and Customer Service Management. I was just curious, are you guys doing anything around the go-to market to try to take those kind of concepts into the market more directly? Or are there things that you are thinking about? You may have mentioned that before but that's the first time I've heard you talk about them in those three buckets. And then Mike, I was just wondering if you could just touch upon about well a big hiring quarter for you guys, where you're adding people may be? And where are you focused on with these hires for next year? Thanks.
John J. Donahoe - ServiceNow, Inc.: Yes. Great question, Kirk. And to be honest it's sort of funny. Mike and I are sitting in the room right now where we did our end-of-summer product reviews and looking about our strategy. And I had just come back from a month on the road meeting with customers, CJ Desai just come out of all of his product reviews. And what we sort of realized that we've been describing our product portfolio in what I would describe as inside-out terms, HR, security, customer support ITOM, ITSM. And the reality is those aren't the words the customers are using. And so this move to the three – or the Now Platform and three clouds is to some extent adopting the same language the customers are using when they think about it. So let me just sort of describe each. Customers almost inevitably talk about our platform first not our products. They say your platform is powerful. We recognize the power and value of your platform both your out-of-the-box and our ability to build applications on it. And it's becoming one of the core platforms, one of our core – if I've heard this once I've heard it 25 times in the last 60, 90 days. You're now one of our core strategic platforms going forward. So, the Now Platform is the sort of foundational element. And then the three clouds are really describing our products, our existing products around the business areas that they're addressing. So our IT work, we call it three workflow clouds. Our IT workflow cloud is helping the IT run their business, run IT as a business. So that's IT Service Management ITOM, that's IT Analytics Management, IT Business Management. And so the CIO are increasingly looking at our capabilities to help them run their own function better. The employee workflow clouds or the employee experience cloud is how they're describing their desire to automate workflows to deliver better end-to-end employee experiences and drive better efficiency. And so that's where ITSM HR Case Management, HR Onboarding and Offboarding those all tie together to help build end-to-end employee experiences. And they're asking us around facilities and finance and other functions that can we automate workflows. And so you'll see us our product development and NowX focus will be on building out some of those workflows to deliver the end-to-end experiences and help them drive greater productivity across that. And then the last cloud the customer support, the customer service workflow cloud is really driven by a subset of customers. Frankly, more of B2B customers who are increasingly using our capabilities to serve their customers and I think about the whole customer support market or customer service market as two broad segments. One a B2C segment where customer service platforms seem to be more CRM-based that's not our sweet spot. But B2B environments where the inbound customer contacts need to get to the root cause of what's causing the problem get that root cause addressed, and then getting back to the customer with resolution. Our platform is very well suited to that and that's really when you look at our growth in customer support where it's driving. So these, I think, three grouping in these three areas I was at the major CIO organization a couple of weeks ago. I think allow us to more crystally describe who we are? We are the digital workflow company and help drive our incremental innovation investment and link it to their business outcomes, link it to the goals that they've established for themselves. I think they'll see us drive a little more of our marketing and how we talk about the company in these terms.
Michael P. Scarpelli - ServiceNow, Inc.: And then Kirk, on your question with regards to the head count where are we putting these people. Most of these people the #1 is R&D. Number two is our sales organization and that kind of flows through the rest into the others. And we think that R&D and sales will be the big investment areas as well and actually in our next three years is when we're planning on hiring most of our people in those two groups as we see the opportunity in front of us.
Kirk Materne - Evercore Group LLC: Great. Thanks guys.
Operator: Thank you. Our next question comes from Kash Rangan with Merrill Lynch. Your line is open.
Kash Rangan - Bank of America Merrill Lynch: Hi, Thank you so much for taking my question. I just wanted to get your thoughts very quickly. Do you see any tailwinds or headwinds through IT spending in 2019 based on John your conversations with customers? And secondly, when I look at the way you categorize your clouds you've got to play in HCM. Broadly, being understood as HCM you've got to play in the CRM market. Also I cannot help it wonder, but as you look at your plans to be a $5 billion, $10 billion revenue company, it appears to me that there could be other major markets that you have to participate in a pretty big way. Because you know, obviously, company like salesforce.com worked and have made some significant acquisitions along the way on route to trying to be large company. So I just wonder how do you think about the acquisition roadmap and your potential of playing in markets in a much bigger way that you have to, if you were to become a multiple of your current size? And it's meant to be worded in the constructive way rather than a critical way? Thank you so much. Appreciate it.
John J. Donahoe - ServiceNow, Inc.: Well, Kash, let me – on IT spend as I said earlier to be honest it's digital transformation investment that every company is needing to make. They're embracing software, they're embracing cloud and that's therefore driving IT spend. So we see continued strength there. I appreciate your question because I think it's a really important one. And again, I'm going to answer this through the eyes of the customers about what I hear consistently and how we understand where we play. What I consistently hear from CIOs, COOs and in some cases CEOs is as they embrace cloud at the infrastructure level they're consolidating their infrastructure needs and they are figuring out what their public cloud, hybrid cloud, private cloud strategies are. And then at the software layer they're adopting four to six strategic cloud platforms. And typically those would be often it's a Salesforce for their sales cloud and sometimes their marketing cloud, Adobe for their marketing cloud. A Workday for their employee or HCM cloud, Office 365 or Microsoft often for their productivity, albeit on the supply chain you'll hear SAP frequently. And ServiceNow is both the IT cloud, but also the workflow cloud. The cloud that helps enable the workflow all around these other systems on record. And they say two things. One, they want one plus one plus one plus one to equal 10. So it is not a zero-sum game in their minds. They view each of these core strategic platform as additive and they want us to work effectively together, which I believe that we can do and are doing. And two, our particular role is not just IT, it's workflow. And so we view our market opportunity is digitizing and automating workflows all across the enterprise. So we will never be an HCM system of record. We don't need to be and we use Workday internally. We think they're terrific. We'll never be a CRM system of record. We think there's – we think Salesforce and Adobe and others do that quite well. We'll never be a financial system of record or a financial ERP. What we do, do better than anyone is the workflows around those platforms. And if we look at that opportunity that market opportunity we think it's an enormous TAM and offers tremendous growth opportunity to $10 billion and well beyond. So the point I just want to make is, I do not see this and nor do customers see this as a zero-sum game among the major strategic cloud platforms, they want them to work together. I believe there's plenty of growth for all of them. And in particular I think us is the digital workflow company. We have a huge market opportunity that's additive to the others and that's what we're pursuing. And to be honest, again, these three clouds everything I'm talking about has not been thought up here in some windowless conference room. It's based out of hundreds and hundreds and hundreds – or conversations with hundreds and hundreds and hundreds of customers. And that's what they're saying to us. I'll make one final comment, you can hear a little my passion on this. As I said I was fortunate enough to be able to speak to the top CIO group a couple of weeks ago. And a CIO of – again in this space different one but of a major industrial company, Fortune 25, Fortune 50 company said hey this is his algorithm. He called it, one plus, one plus, one plus one times ServiceNow equals 10 times. He talked about ideas and his text deck he has a Salesforce or Workday and Office 365 in his case an Oracle for financial ERP. And he said and we have ServiceNow that instead of being plus one is times one and the multiplicative impact we can have not just in IT but when workflow around all those other cloud gives the 10 times impact. And that's directionally is what we're hearing and that's directionally what we're pursuing.
Kash Rangan - Bank of America Merrill Lynch: Very well put. Thank you so much, John. Thank you, Mike as well.
Operator: Thank you. Our next question comes from Alex Zukin with Piper Jaffray. Your line is open. Alex, please check your mute button. Okay. Our next question is Raimo Lenschow with Barclays. Your line is open.
Raimo Lenschow - Barclays Capital, Inc.: Thank you. I liked my new name. Quick John, can I stay on that subject. And as you kind of move over to – and talk more about platform and be more the workflow platform, how do you – as you think about 2019 how do you think about your go-to-market with your sales guys in terms of how they are positioning it? What you do with your sales guys in terms of – are they able to kind of get that message across? What needs to change there to kind of do kind of even do a better job there? And then for Mike, you gave us some cash flow margin kind of framework at the Analyst Day, I see now you kind of upgraded that a little bit. Can you talk a little bit about the drivers for the upgrade this year and if that changes your overall framework? Thank you?
John J. Donahoe - ServiceNow, Inc.: Yes. Raimo on your first question I believe there's a lot of those to even focus the sales teams even more. So obviously, our platform and IT cloud is our historically sweet spot to CIOs. And as Mike mentioned, the CIOs increasingly playing a strategic role. Describing things as the Employee Experience Cloud or Employee Workflow Cloud is a better description I think of what we do because Employee Experience is not just an HR issue or just an IT issue or just a legal or just a finance. But increasingly, you're seeing as companies try to embrace the end-to-end employee experience and automate workflow. The CIO has to work with the CHRO who has to work with the CFO. And we often are sponsored introduced into that equation walked by the CIO, but we find ourselves working with that trio that team more frequently. And sometimes you have a shared services and a shared business services person that often report to the CFO. But it's, that triad as companies are trying to say, how do we digitize our internal processes and digitize our internal employee's experience? It needs the CIOs, CHRO and CFO work shared services. And so we're calling on that group. And then in the customer service or customer support world by being even sharper and clearer that B2B is our focus. In many cases customer service in a B2B environment reports either to the CFO or COO. And so again, that's an area that's a natural and the CIO is often involved so it's a more natural adjacency for us. And so I think if Dave Schneider or Kevin Haverty were here they'd say, this kind of way of thinking about and describing what we are, which is – it actually reflects what we're doing, mirrors what we're doing in a more focused way. And again, the CIO as Mike said earlier, is increasingly involved in almost all of those situations. So, it's our strength there is, I think, an asset.
Michael P. Scarpelli - ServiceNow, Inc.: And then Raimo on cash flow, I thought you'd be happy that I was giving – or we're giving good cash flow margin increase per year free cash flow.
Raimo Lenschow - Barclays Capital, Inc.: Oh, I am. I am.
Michael P. Scarpelli - ServiceNow, Inc.: But it's driven by a couple of things this year. Part of it is Q4 is off to a very good start in terms of the billings associated with the number of customers that I expect collections to be very strong this quarter more than what I was thinking earlier on the year and it's really a timing issue. The other thing is there's a bunch of CapEx projects that we're initiating, because I don't think the payments is going to happen until next year. So that's really pushing some of our spending from a cash flow perspective into 2019. As a reminder at Financial Analyst Day, we did say we will get greater than 1% operating margin and greater than 0% free cash flow margin expansion. Not giving guidance for 2019 right now, but I do think operating margin and free cash flow will converge a little bit to growth and then longer term now, I just want to remind people cash taxes will kick in, in around 2023, 2024, which will have an impact on free cash flow.
Raimo Lenschow - Barclays Capital, Inc.: Okay, clear. Thank you. Congratulations
Operator: Thank you. Our next question...
John J. Donahoe - ServiceNow, Inc.: Operator, next question.
Operator: It comes from Michael Turits with Raymond James. Your line is open.
Michael Turits - Raymond James & Associates, Inc.: Cash did a great job on going at a very high level, and John you answered it great. I wanted to drill downwards a little bit and ask you about two product areas. One in ITOM, how much do you think about going down the stack, down closer into monitoring and actually touching the infrastructure? And then one sub-segment that's been active in M&A and the industry lately has been around IT notification what seems to be, well there's been some acquisitions there. I was wondering if that is in your sweet spot and if you're investing here? So, down the stack towards monitoring and touching the IT infrastructure and IT notification?
John J. Donahoe - ServiceNow, Inc.: Michael, again the way I'll answer that is we're listening intensely to the customer and listening intensely to how CIOs, how VPs of infrastructure, VPs of application envision running and leading IT over the next five to 10 years. Because there's just no doubt that the role of IT shifting in the company and the way they're running IT is shifting and growing. And so there's – we have very strong demand for ITOM this year and that can be discovery service mapping just as they are trying to get a robust CMDB. And I think there is some appetite for us to explore as you described moving down the stack. To have our platform continue to broaden and expand so that they have – I don't want to say one-stop shop, but they have – they can build more – have fewer applications and then more applications on our platform is the way I would say it. And so where – when you look at our roadmap, when you look at any M&A we may do, we're simply listening to our customers and saying how do we continue to build other ITOM and other IT capabilities to help ensure that CEO – I'm sorry CIOs can run IT in a modern way? That's – because they got this – they have this embargo (39:33) effect, where they have is a lot of his legacy stuff. And the legacy stuff is not going away overnight and yet they have modern platforms like ServiceNow and other modern applications and modern mindsets around agile and DevOps. And the CIOs want our platform to bridge – help them bridge both. And so they can't walk away from the legacy. We help them address that. But also we're increasingly helping them run IT in a modern way. And so that will continue to drive not only the organic growth – and organic roadmaps rather for IT-related products, but also our M&A agenda when we can add incremental capabilities to our company and our platform that match those needs that CIOs want. We'll continue to do that. And then IT notification, to be honest, I haven't really – that may be – I haven't heard that specific request, but – and CJ's not in the room with us. It very well could be on the roadmap, it's just not – do you know Mike ...
Michael P. Scarpelli - ServiceNow, Inc.: Yes, there's a lot of people that play in that market there was – you've got – (40:45). You have Zendesk bought that (40:48) have VictorOps that was acquired. It's not something, there's a lot of players down there, Splunk is playing in that space we're going to more partner down there right now.
Michael Turits - Raymond James & Associates, Inc.: Great guys. Thanks very much.
Operator: Thank you. Our next question comes from Justin Furby with William Blair & Company. Your line is open.
Vinay Mohan - William Blair & Co. LLC: Hey guys, this is actually Vinay on for Justin. Thanks for taking my question. Congrats on the quarter. And continuing on the product theme, if you look at the HR services or Case Management market specifically just kind of wondering how do you see the pace of spending or deal sizes trending there, and how would you characterize the competitive environment? Thanks.
John J. Donahoe - ServiceNow, Inc.: Well, the HR or what we have been describing as our HR product increasingly are considered a component of our employee experience. And it performed well. We've got 20 U.S. magnitude and we think it's something 20 customers over $1 million. And again, where we tend to get involved is when there's an employee experience initiative. And that's when you want to combine the many of the finance systems records, the HR, HCM system of record, things like payroll, P&E, and other things into a seamless experience for employees. And increasingly, companies are realizing that they want what I would have called a shared services portal. But they want to have their employees go one place where they can report problems, get knowledge get their questions answered and get things resolved. And if you have to go to a different place from an IT problem as you do an HR problem as you do a facilities problem, employees are going to pick up the phone. And that's what employees don't like that and increasingly organizations don't like that because it's high cost. And so our shared services portal both web and increasingly mobile allows companies to tell their employees go one place for all of your internal problems and questions and get them resolved and if you can use self-help that's what employees love that's far more productive and efficient for the company or an automated response through Knowledge. And so that's the pull, that's the underlying business pull we feel and that's the situations where our platform our workflow platform is relatively unique. So, that may start with HR Case Management, that may start with our Onboarding and Offboarding, it may start with shared services portal. We had a customer, a large top five U.K. bank, it's a global bank based on the U.K. and they went live with our an end-to-end employee experience that we were fueling. In this case alongside SuccessFactors with 173,000 employees and I think from start to finish they got it live in something like six months. It might have been a little more than six months. And so – and again that was a CEO COO-sponsored initiative that HR's partnering with IT partnering with finance to drive a strong end-to-end experience. And our platform is a cross functional workflow platform was sort of a foundational element and the fact that we worked well with all the other supporting platforms. It's really – and so that's what's driving our – that's why calling employee experience I think is a more accurate depiction and will also drive our incremental roadmap priorities.
Vinay Mohan - William Blair & Co. LLC: Got it. Helpful. Thank you.
Operator: Thank you. Our next question comes from Matt Hedberg with RBC Capital Markets. Your line is open.
Matthew George Hedberg - RBC Capital Markets LLC: Hey, guys. Thanks for taking my questions. Congrats on the results. I wanted to ask about FriendlyData. It looks like it's bringing natural query language or natural language query to the platform. It seems like that could resonate well with some of your non-technical users. I think you guys mentioned that you're re-platforming it. Can you comment a bit about what this means to the platform? And maybe any feedback from customers when this acquisition was announced?
John J. Donahoe - ServiceNow, Inc.: Yeah, Matt. This is – this is I think it's now our fourth I'll call it AI-related acquisition starting with the DxContinuum. And look – here's what customers are saying. They're saying two things. One they want to build experiences that are really easy to use and really easy to build so low code, no code kind of capabilities for the developers inside the company. And they want to have experiences that their employees can get automated or self-help kind of functionality. And so what this particular acquisition does as you've said sort of language processing, just helps you translate, just helps you natural language search, it helps you translate voice or voice text would be my simple way of saying it. But with natural language and receive responses and charts or graphs or text. And so it's a form of chatbot, it's the way I think about it. But you make a request in one mode, whether that's voice or text or verbal and it responds in the mode you want back. And so it's a nice team, it's a good team of engineering talent and a good platform and we're doing what we do with every acquisition we make that they're recoding it into the core ServiceNow Platform, our menu of one core platform driving all of our applications and customers. And we think it accelerates our road map significantly. It will be used across all products and will help drive platform adoption. And we're thrilled to have the team, really, really, really strong team, nice team. And we're excited to have them part of our overall organization.
Matthew George Hedberg - RBC Capital Markets LLC: That's great. Thanks a lot.
Operator: Thank you. Our next question comes from Walter Pritchard with Citi. You line is open.
Walter H. Pritchard - Citi Investment Research (Europe): Hi, thanks. A question I think for Mike or if Dave Schneider is in the room there. Wondering on the sales capacity build as we look at that headed into 2019. Could you maybe contrast or compare how that ramp and the composition of that ramp compared to what we've seen in the last couple of years?
Michael P. Scarpelli - ServiceNow, Inc.: I expect it to be pretty similar in terms of what we're looking to add going into next year. I'm not expecting major changes to the sales organization next year. I will say most of our revenue as you know comes from large enterprise. As we've said before around 20%, 21% of our revenue is commercial and the other is G2K and large enterprise and public sector. And so obviously we're very focused on public sector and geographically, we think there's a large opportunity continue to grow in Asia with new logos, but there's lots of opportunities still within the U.S. and EMEA to further penetrate our existing accounts. And we still find that reps have too many accounts they're covering and we needed to hire more people. And so we're going to continue to run as well, we're going to continue to add more product sales specialists as well to support our emerging products within our sales organization.
Walter H. Pritchard - Citi Investment Research (Europe): And then on the product side relative to security. I'm wondering if you could update us on success there and your thoughts on it? You sort of fairly narrow player in that market if you have any ambitions in terms of expanding your addressable offerings in that area.
John J. Donahoe - ServiceNow, Inc.: Well, I mean I'll take this. And Mike you can add on. So inside what we characterize as security are really currently three use cases. One is, GRC, which by the way there's a lot of demand for it. You'd call that security and not security it's often driven by the Audit Committee. And there's a growing focus on governance, risk and compliance. And I might even add privacy to that in this day-and-age. And so we think that product – we know that product is getting a lot of demand and increasingly audit committees, or CIOs are being brought – CIO and CFOs are being brought to audit committees and they wanted to have automated ways of monitoring all the various tools and all the various platforms and all the various products that go into governance, risk, and compliance across in enterprise and the ServiceNow Platform is a great way to get one source of truth for that. So that's driving that piece of the equation. And then we have incident response and vulnerability response. And it's a two core, use cases in our security suite. And we'd see – I'd say strong demand for both. And I view it consistent with your question, it's complementary to the many other security platforms and tools in that space. And so we may incrementally – I don't think it's going to be a major area of expansion for us simply because I think it's been well served by others. And it's a fairly fragmented space. It's a space that's changing rapidly. And so I think the workflows around security that's going to be our suite spot and that's in essence of what we do. That's why this workflow mindset, these workflow clouds will be – will help do workflow around security. But I don't think you'll see us become one of the core security platforms like the Palo Alto or Splunk or a FireEye or some of the others.
Walter H. Pritchard - Citi Investment Research (Europe): Great, thank you.
Operator: Thank you. Our next question comes from Sarah Hindlian with Macquarie. Your line is open.
Sarah Hindlian - Macquarie Capital (USA), Inc.: Great. Thank you so much for taking the question and great job on the quarter. So a quick question for both of you. I'll start with you Mike. Mike how are you thinking about the Professional Services segment going forward? Because we've heard from some of your SI partners about one of your biggest issues is really a high-class problem and it's essentially not enough ServiceNow experts out there in the field to meet the demand in our ServiceNow practices. So do you think about needing to reinvest in that business? And then a quick one for you also John, it seems to me that you guys are likely really starting to see some brand recognition for ServiceNow in the market. I imagine you have to be given some of the deals you're signing. Is there some kind of a strategic shift behind marketing to the enterprise that you're undertaking that you can share with us? Thank you both, appreciate it.
Michael P. Scarpelli - ServiceNow, Inc.: So Sarah I'll start with Professional Services. That is absolutely true. We do hear from partners that they can't find enough trained people. And as a result when we started this over the last year, we hired a new head of training. We've been investing extremely heavily in training where we're trying to roll out a lot of free content for our partners and others. That's why you see that reflected in our Professional Service margin. We're training ourselves (52:20) in there. And in terms of – we do think our Professional Service organization is strategic, but we are there to support our partners doing implementation as well as our customers where they want us there. Our preference is for partners to be doing the implementations. We want our partners to be investing in their ServiceNow business because if they do that they're going to help sell ServiceNow. And we think that is the right thing to do and will continue that way. And John, I'll let you talk about brand.
John J. Donahoe - ServiceNow, Inc.: Yes. I'll just to piggyback. So Sarah coincidently Mike mentioned, we hired Cat Lang who is just a fabulous leader of our training certification. She joined us about a year ago. She happens to have her team, her global team in town today and I was down with them this morning. And one of the things that we're actively engaging with the partners on is how do we work with them to turbocharge the number of certified resources, and so big effort to certify their existing employees. But whether it's in the Europe or the U.S. we're trying to work with Accenture, with the DXC, with the KPMG, with an IBM going to campus and training generations of ServiceNow-certified people that they then join these firms. And so I think we're – I hope 2019 is a year where we go from defense to offense on that, to help fill the void to have a large-enough pool of certified professionals. And then, thank you for the recognition on the company brand. Alan Marks, our Chief Communications Brand Officer has been sitting next to me. He was with me for 10 years at eBay and joined ServiceNow 18 months ago. And he's got a smile on his face because of your question. And he and our Chief Marketing Officer Dan Rogers are really working well together to try to raise our profile as a company in addition to our products. So products are well-known in IT. But we just haven't really ever focused on raising our awareness as a brand. And it helps to be named the most Innovative Company in the World by Forbes. It helps to be one of the Fortune's top three companies of the future. That's raising our visibility. But we're also – if you happen to live in San Francisco you may notice that we actually have a few billboards, a few wraparound buses. We're wrapping up our digital marketing a little bit. And so I think relatively early days, but it is an area that we feel like it's both appropriate. And the time is right to ramp-up our investment and brand. And again, the way we think about it is there is product brand and company brand. Product brand is geared to decision makers. And to be honest with IT we are well-known and increasingly with other parts. Company brand is more focused on recruits, employees and getting some C-suite awareness outside of IT. And so that's why we think it's an important and complementary area of investment. And we're still, I think Alan would say we've begun our path on that journey and we still have a long way to go. But we're excited about the brand and we're excited about the opportunity.
Sarah Hindlian - Macquarie Capital (USA), Inc.: Thank you very much. Very helpful. Appreciate it.
Operator: Thank you. Our next question comes from Sterling Auty with JPMorgan. Your line is open.
Ugam Kamat - JPMorgan India Pvt Ltd.: Hey, guys. This is actually Ugam Kamat on for Sterling, so just to dig deeper into the fed fraction that you saw in the quarter. If you were to rate which are the products that have been the – has seen highest adoption amongst the fed customers how would you rate them?
Michael P. Scarpelli - ServiceNow, Inc.: Well, ITSM and ITOM, IT in general is still the predominant product that is in the federal government. With that we did mention platform is becoming increasingly more important. And I'd say the largest platform customer is now a government agency, but by and large IT and ITOM are still the bulk of what's in the federal government. We have seen some CSM as well and platform. Don't really think we've seen any and I'm looking at HR and have we seen any HR in the federal government?
John J. Donahoe - ServiceNow, Inc.: What we're thinking – I mean the use case I referred to earlier I don't know if they're using the specific HR expansion product or they're building their own application. Because this is a military service, because of the specific use cases. Similarly, this is not the U.S. federal government but ironically several airports use ServiceNow to help manage, again it's a municipal more local government or regional government. And the government that – they are using ServiceNow to help drive the airports, which include customers and employees. Sometimes it's with out-of-the-box applications and sometimes they're just frankly using the platform to configure to the specific use case of an airport.
Ugam Kamat - JPMorgan India Pvt Ltd.: Got you. That's helpful. And as follow-up, if I were to follow on the contract land that we saw in the quarter. I mean the new customer contact land and the upsell contract land actually shortened for the last two quarters. Anything that needs to be read into that? Or is it just a normal course of business?
John J. Donahoe - ServiceNow, Inc.: It's a normal course of business. Q3 is a big federal quarter. Federal governments sign 1-year deal, lets excuse that. The other thing, in Q3 upsells is such a big piece of our business and the number of our customers co-term their contract at the end of the year and many are on a calendar year invoicing cycle for when their contract started because Q4 is such a big quarter. So that's just normal seasonality.
Ugam Kamat - JPMorgan India Pvt Ltd.: Awesome. Thank you guys.
Operator: Thank you. And that's all the time we have for questions. I would now like to turn the call back to Mr. Michael Scarpelli for any closing remarks.
Michael P. Scarpelli - ServiceNow, Inc.: Thank you. As a reminder a replay of this call will be available as a webcast in the Investor section of our website. Thanks for joining us today.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone, have a great day.